Operator: Greetings, and welcome to Endeavour Mining’s First Quarter 2015 Results Webcast. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Neil Woodyer, CEO of Endeavour Mining Corporation. Thank you, Mr. Woodyer, you may begin.
Neil Woodyer: Thank you, operator, and welcome everybody to our Q1 2015 webcast presentation of our results. With me as usual is Attie – our Chief Operating Officer, Attie Roux. I’m joining us with first time is Ota Hally, our new CFO. Ota had been VP Finance and Controller for sometime before so he started very naturally into the job of CFO. So welcome to Ota. If you can now change to Slide number 4, which gives our operational highlights for the quarter, our team in the operating team performed very well for the quarter. Our production was 124,000 ounces, which positions us very well to be able to deliver the full year production guidance of 475,000 ounces to 500,000 ounces. Our all-in sustaining costs for the quarter was 964 an ounce, so somewhere around the mid-point at the range of 930, 980. And very significantly, we saw a improvement at Tabakoto, where its all-in sustaining costs came down by 246 in the quarter to 1,127. And we’re anticipating continued improvements throughout the year bringing it down to its guidance for the year. Overall, our all-in sustaining margin was $33.9 million and our free cash flow before exceptional items was $9.3 million. Our after-tax net earnings was $13 million. We finished two heavy years of capital expenditure where over the last two years we’ve invested $300 million in building Agbaou and improving Tabakoto and in this quarter we have a new phase where our non-sustaining capital expenditure was only $8.3 million, a most of this relates to carry forward projects finishing this of at Tabakoto from last year. If we turn to the next slide, Slide 5, one of our primary objectives this year is to reduce our debt. In March this year, we extended the corporate revolving facility with five banks and extended it to its final maturity date five years away of March 2020. And significantly increased our flexibility and ability to use that facility, there are no mandatory repayments for the next three and a half years. In terms of the loan are similar but slightly illusive for us and slightly more flexible in the way before. Because of the strong quarter, we had in the first quarter and because we saw continued performance in April this year at the end of last week we took the decision to make our first repayment or reduction of the facility and we reduced our usage by $20 million. So that means currently the net amount drawn is $280 million, so we have $70 million in which we could draw in the future for whatever reason we think is appropriate. So we are in a stronger financial position now, as we turned the corner and generating cash. And with that happy note, I will turn over to Ota to take us through the production numbers in the all-in sustaining costs.
Ota Hally: Thank you, Neil. On Slide 6, we see the break out of the mine-by-mine produced cash cost in all-in sustaining costs, Attie will speak to some of the technical details, but one can immediately see the strong performance of Agbaou and all-in cost at the mine level of $577 and Nzema had a challenging quarter coming in at the $1,194 and as Neil indicated good improvement from Q4 of last year Tabakoto coming in at $1,127 and Youga rate inline and another strong quarter at $851 all-in costs. Down at the bottom, the evolution of our all-in costs it’s been a very happy story presenting this to you, over the success of quarters and we find ourselves at $946 raised in the middle of our guidance range, which give us the all-in sustaining margin of $33.9 million. On Slide 7, we continue to present our all-in sustaining margin both in dollars, ounces in our per ounce basis. But we can see here is the revenue we achieved, the cash margin, sustaining capital I wanted to highlight that includes some of the waste cap which depending on strip ratios and timing, points its way between cash costs and sustaining capital. And then the third of our 2015 exploration program starts at sustaining exploration of $1.6 million bring us again to that all-in sustaining margin at $33.9 million. On Slide 8, just to reconciliation and walk though explanation of our cash position, we did start at the $62.2 million at the end of the year, and with the regular item that we see and including non-sustaining investments an additional bit of non-sustaining spend at Houndé,. Our free cash flow before the exceptional items was at positive 9.3 million, which brought our cash balance at the end of the quarter, before the exceptional items at 71.5. And as Neil mentioned we renewed the credit facilities which incurred fees as well in the Q4 of last year, we had some VAT factoring balances that have to repaid this quarter, so that was the $9.7 million draft. Ended our cash balance at $56.4 million. And with that I’ll hand it over to Attie, before I walk through of the operations.
Attie Roux: Okay, thanks, Ota. If we go to Slide 9, I will start with the operating summary for Agbaou mine in Ivory Coast. Another excellent performance for Agbaou for the quarter, producing well and excessive budgeted ounces for the quarter at 45,000 ounces. Agbaou is at the moment still benefitting from the soft nature of the upside and saprolitic ore is depreciating at the moment. In terms of increased tonnes throughput through the plant, higher grades that we forecasted and also to get significantly higher recovery in the processing facility. The exploration program at Agbaou continued during the first quarter and focus at this point in time is to convert the loss but of inferred that is also us to indicate it. But mainly generation of new targets during the first half of the year for growing up in the second half of the year with the Phase 2 drilling program. For the first quarter, we drilled about 18,000 meters. If we turn to Slide 10, the operating summary for Nzema. As Neil and Ota alluded Nzema had a tough quarter for the first quarter. And mainly in the second month in February, we had some limitations in the throughput through the processing facility, mainly due to the blend of mainly Adamus ore, very hard rock coming from the pit. What we’ve done now is we increase the blend of the other sources Akanko, especially with the Adamus to elevate this problem. And also the last segmentation has improved significantly during the last while. And that will assist in the throughput through the processing block. We did see some great variances in the blocks that we mined during the first quarter, but that looks like it’s normalized at the moment. One of the unexpected issues that we picked up during the first quarter was a huge volume and great of the purchased material that we processing at Nzema. I must say for March and now into April, the suppliers had rectified the problem and materials expect its specification. I think the biggest challenge since Nzema is facing together with all the others mines in Ghana is the current mandatory power load-shedding it we’re seeing the country. We were to shed one-third of the power. This means that one-third in Nzema, we are and one-third of the timing on diesel and as we all know, Ghana government has not passed the fuel savings on to the consumer. So we’re having a double hit at Nzema. If we turn to Page 11, Tabakoto mine in Mali, as the Neil and Ota alluded, we had a much improved quarter at Tabakoto mine dealing with the all-in sustaining costs improving almost 20% down from the last quarter to this quarter. This comes from the back of changing out the open pit from Djambaye and to Kofi C and the first ore has been hold to Tabakoto around during the middle of January. This is going to be a key driver in driving the all-in sustaining cost down. The people on mine are concentrating on the reducing dilution especially in Tabakoto underground, which result in higher grades getting through the processing facility. We also started seeing improved grades from Segala underground compared to the last quarter. And these are expected to continue into 2015 as we move into the seventh series of high grade blocks now. The new CRF plant has been commissioned during the first quarter and that will certainly benefit us going into the future. The exploration plan is on strike at the moment was 6,000 meters drilled and the early results are very encouraging with extend at the mineralization on strike and on dip on other targets that we build. As we turn to Slide 12. Youga gold mine, a very solid quarter for Youga gold mine producing an excess of budgeted ounces at our all-in sustaining cost of $850. Of note, that Youga is that all the first generation pits the main [indiscernible] but its all done they finished. We are now moving, we have moved into the Zergoré pits which will become the future of Youga at the stage. And with that, I’ll turn back to Neil to talk about Houndé.
Neil Woodyer: Okay, so looking at the Page 13, Houndé our development project, we received the mining payments in February this year, after receiving the ESIA completed in last year. And at the end of last year we’re able to increase our reserves by 34% which means we now have 2.1 million ounces at 2.1 grams a tonne which should give us a 10 year mine life of about a 190,000 ounces a year but the first three years will be about 240,000 ounces each. The current estimate of the upfront capital is $325 million which includes an owner mining fleet of about $55 million which when we go forward we will look to lease that. The economics are at a gold price of $1,250 the all-in sustaining cost is just over $700 - $714, the IRR was 31%. So when you look at the chart on the right hand side of the screen, we have shown the positioning of where Houndé is both in terms of it’s reserves and where it is in terms of feasibility permitting construction of production, compared to other projects in West Africa, and very importantly we’ve shown where the 30% IRR break is and we are showing that Houndé certainly ranks in the top tier West African projects. With regard to financing the project and constructing it we will look to the end of the year to see what’s happening with the gold price. We’re look to the end of the year to see how our cash generation this year has gone and between now and sometime around about then we would intend to negotiate the lease with the equipment. So we would expect towards the end of the year or early next year to take a decision to if it’s appropriate to make a production, construction decision and we would expect if the gold price stays about above the $1,200 mark, we will expect to be able to finance it from our own cash flows, the lease and the use of our existing credit facility. So ladies and gentleman that is basically the conclusion. If we turn to Page 14, we can that we have five key objectives for the year. The first is to produce around about 500,000 ounces and in the first quarter we produced a 124,000, to maintain our all-in sustaining costs at mid-range of 900 and in the first quarter it was 946. To be profitable for the year, our net income for the quarter was $13 million. Our fourth objective is to use our free cash flow to reduce debt. And as I said, this quarter we successfully renewed and expanded our revolving credit facility for five years. And we also in April this year made the repayment or reduced the facility usage by $20 million. And in terms of our fifth objective, to extend mine life through exploration, we have started our 215 programs building on the success of last year. So at the moment, we’re on track to deliver all our 2015 objectives. So, ladies and gentlemen, that is the formal part of our presentation. And I’d ask the operator to take us through question-and-answer session.
Q - Rahul Paul: Hi everyone, congratulations on the strong quarter. Just a question on Houndé, you spoke about developing the Houndé project and you’re confident that it can be funded through internal cash flows and some capital leases as well. The last presentation showed Houndé contributing to production in 2017. I'm just wondering what gold price? What you need to see over the next two years to be able to maintain that timeline. And if the gold price that it drop below 1,200 or whatever that gold price is. Would you push out a construction decision for the entire project or would you just slowdown construction maybe full year build was that the three-year build probably than the two-year build or something?
Neil Woodyer: Well. Firstly, if I can say we hadn’t yet made that decision as to go ahead and construct and it would be very – based up on how much our success with the year has been and how we’ve been able to perform. Plus also the gold price at the time and our view where the gold price was going. It’s very simple, north of 1,300 is in O'Brien and South of 1,100 is in O'Brien between the two its difficult. So 1,200, 1,250 is probably the kind of position we would want to see. I think it depends upon our financial strength at the time is to how we would handle it and how quickly we would do it. Hopefully, we’re in the position where we could start in the first quarter, the schedule build is 18 months. And I think we just have to be pragmatic between now and then, I think we would have to be pragmatic if we took the decision to move ahead and see what we could do, to strengthen ourselves to make sure we could be finance through any downturn in the market, as we did with Agbaou.
Rahul Paul: Okay, okay. Thanks, thanks very much, Neil. And then just moving onto Tabakoto is fairly good to see cost come down the way they did it, and it looks like Kofi had a lot to do with that. Is the plan for this year mostly oxide material from Kofi or is that – is this a reasonable amount of sulphide material in the mine time as well?
Attie Roux: Okay, thanks. I will take that one. Yes, the top layers are really laterite and saprolite. So we expect for some period of time in a quite a few months. That we will be in the softer type of material, certainly the transition zone, once we start needing to blast – I guess by between the second and the third quarter someway, that we will do some sort of blasting, but for now, its really soft material.
Rahul Paul: Okay. Attie, and when you go to the transition in the sulphide to the grades go up versus the saprolite and the laterite?
Attie Roux: Yes. This is one of the fortunate situations, we the grade does improve with it.
Rahul Paul: Okay, thanks. Yes, that’s all I had.
Neil Woodyer: Okay, thanks.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Mark Bentley with MAB Trading. Please proceed with your questions.
Mark Bentley: Hi, good afternoon, gentlemen. Just one question on the cash flow guidance contained in the quarter one report. And in your April month management presentation Slide 8, showed guidance of free cash flow of $130 million to $135 million for the current financial year before interest and tax whereas your narrow forecasting $100 million before interest and tax. I’m just wondering what's changed that.
Neil Woodyer: Okay, well, I can take that one. The forecast and guidance that we have in the financials just published actually is the same guidance that we have from year-end. And the fuel and FX cost savings that we’re presenting in the presentation are still approximate to – we continue to hold our guidance and as we see the fuel and FX savings come into play.
Mark Bentley: Okay. Today’s what possible additions to the forecast free cash flow and you know you’re still holding anywhere at year-end?
Neil Woodyer: Correct.
Mark Bentley: Thank you.
Operator: Thank you. [Operator Instructions] Thank you. Our next question is coming from the line of Danny Ochoa with Haywood Securities. Please go ahead with your questions.
Danny Ochoa: Thanks a lot guys.
Neil Woodyer: Hi, Danny.
Danny Ochoa: I’m just wondered if can you – yes. My first question just on Agbaou, I just want to know what drove the higher grades in the quarter and what do you expect for the remainder of the year to look like?
Attie Roux: Okay. So, I’ll take that one, thanks. Yes, the higher grades for the quarter was mainly just a mix issue where we mined and the little if cost of reconciliation between the grade control and the original resource revenue.
Danny Ochoa: Okay.
Attie Roux: For the rest of the year, we see the grade marginally down from the mid-twos, closer to the two, but we still foresee that we will make the monthly guidance quite easily for the rest of the year.
Danny Ochoa: Okay, okay. And then also at Agbaou sort of you guys incurred $0.8 million in land compensation of capital during the quarter or is that related to and do you expect more payments during the year for that?
Attie Roux: Okay, thanks, I’ll take that one as well. Yes, the land compensation payments are related to expansion as we that all model on the exploration driving. If you find something you need to secure that in terms of the land payment to compensate, it becomes a pit. Let’s just increasing property holding in terms of the permit and also around the tailings than where we do in the tailings than expansion we needed to do some compensation. The compensation is not really seen as a going out of the budgeted number for the total year is maybe just a bit of a phasing issue at this stage.
Danny Ochoa: Okay, okay, great. And then just on Tabakoto, can you just clarify what the stope bridges are, and I guess what drove the reduction in the – none of the stope bridges required?
Attie Roux: Okay, the bridges results at the top, as you – you drill upwards and sometimes the you know you done drill to the top or you done charge to the top, so it’s a little hang up in the top of the stope, a little bridge hanging across the stope, what – what’s happen payment in during this first period now is we at the total of refocus on great growing, great charging we actually have automatic host pressure of that charging on if right at the top so. We getting more focused on doing the thing properly and we seeing this significant reduction in the amount of redesigning that.
Danny Ochoa: Okay. And then my final question, on the debt repayment side, do you guys expect to see anymore principal repayments during the year?
Ota Hally: Yes, we do. It’s not actually, yes, its reduction of the usage, because its revolver comes going out and but yes we do, we reduce whatever is appropriate surplus free cash flow to do that, yes.
Danny Ochoa: Okay, great, that’s all the questions from me. Thanks a lot guys.
Ota Hally: Thank you.
Operator: Our next question comes from the line of [indiscernible] private investor. Please go with your questions.
Unidentified Analyst: Hi, thank you all. It’s a good very quarter and congratulations to the team. I have few comments and maybe a few questions. Regarding Tabakoto, its went well really, it’s a great effort there, now my question is we have all-in sustaining costs around $1,125, - does that mean, I’m not exactly, but something in that range. Now our guidance is somewhere between $950 to $1,000 for the year, that means basically management is expecting continued progress in both production and cost reduction and that means we will be seeing tremendous amount of cash flows to the company. I want a clarification there regarding the – how production is ramping up, each quarter how management is viewing and also I read in various press, that Kofi some the government officials were there and CEO, Mr. Neil Woodyer was there as well. I’ve seen his pictures in the government officials in Kofi opening and can you please share some lights what's going on and any exploration going on in Kofi. I obviously that is real jackpot if we could enhance the exploration in that area in that belt. So I will stop there and I have another comment on that. Thank you.
Neil Woodyer: Will you tell that one Attie?
Attie Roux: Okay, let me go with that. Okay, you are talking about Kofi, specifically we started the Kofi C permit or the Kofi C pit down during this quarter. It is a high grade pit. But in the Kofi area, as you mentioned, there are other properties, which we are going to explore this during the rest of the year. They should give other properties that we’re targeting. So yes, you’re correct, these potential to increase the immediate feeds to the most from that area into the future.
Neil Woodyer: Yes, we built a 38 kilometer road North of Tabakoto compared to Kofi C. The mining permit covers including Kofi C eight deposits and we will progressively mine those going South to the mine where the moment on the stop to the Kofi C which is performing slightly less than we anticipated. So we’re progressively moved away from that being the third source of material to the Tabakoto complex.
Unidentified Analyst: Yes, thank you.
Neil Woodyer: Is that answered your question?
Unidentified Analyst: Yes, it did. The main question is actually a comment is right. Our all-in sustaining cost $1,125 Q1 and your guidance is for $950 to $1,000 for the year that means we need to see in Q2 and subsequent quarters significantly lower than, but we’ve seen already at Q1. So I’m – my question is what is – how you are ramping up and how things are going there?
Neil Woodyer: Okay, if we’ll – the first quarter Tabakoto to be used 10,500 ounces per month for the first two months. And then, we – when we looking time together and Kofi started performing we ramped up to gotten off and it looks like April is going to be a significantly better month as well. So we often to tied the positive influence on the grade from getting the higher grades from Kofi and also the higher grade from Segala underground, and as I mentioned earlier in the presentation, the issues with dilution at Tabakoto mine has been showed a gap as well. So overall we getting higher grades, so which will yield more ounces. And with the cost under control if you have good cost and good ounces you will have low all-in sustaining cost.
Unidentified Analyst: Excellent and last question, regarding Nzema, better way you can enhance feed there by buying local mines or any nearby properties or reduce IRR good exploration targets, thereby you can buy and this applies to this question applicable to all mines. I think we have great infrastructure, you have invested so much money, now it is leveraging this infrastructure and in generating cash out of these all the mines, I mean infrastructure we build. I think you have to do something in that front end, I appreciate that and my questions have finished now. Thank you.
Attie Roux: Okay, thank you.
Neil Woodyer: Thank you.
Operator: Thank you. There are no additional questions at this time. I would like to turn the floor back to management for concluding comments.
Neil Woodyer:
.:
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.